Operator: Good day, ladies and gentlemen. Welcome to the Artis REIT First Quarter 2015 Conference Call. I would now like to turn the meeting over to Mr. Armin Martens. Mr. Martens, please go ahead.
Armin Martens: Thank you, moderator. Good day, everyone, and welcome to our Q1 2015 conference call. Again, my name is Armin Martens, I am the President and CEO of Artis REIT, and with me on this call is Jim Green, our CFO; as well as Heather Nikkel, our Director of Investor Relations. So to begin, I'd like to advise all listeners that during this call we may at times be making forward-looking statements and we therefore seek Safe Harbor. So please refer to our website, as well as our SEDAR filings, such as our financial statements, our MD&A and our annual information form for full disclaimers, as well as information on material risks pertaining to all of our disclosures. So again, thanks for joining us. You will notice during this conference call and maybe during Q2 and Q3 as well, we will keep our format a little shorter, our presentations briefer. And, of course, at Q4 we will be more lengthy. So you will notice that during the call. That will leave us more time for questions and/or more time to get back to work later. I will ask Jim Green now to review our financial highlights and then I’ll wrap up with some market commentary. Jim, please?
Jim Green: Thanks, Armin, and welcome everyone, to our first quarter conference call. To highlight what we said before, internal growth has always been a focus for Artis, but internal growth combined with development opportunity has become even more important for us as we’ve slowed our external acquisitions. As we’ve discussed in prior quarters, we have been much more active in developments. We currently have over $165 million invested in projects under development, roughly $81 million on the REIT’s balance sheet and a further $85 million in joint ventures with other developers. As detailed in our MD&A, we have a number of projects in the planning stages where development activity has not actively started. External acquisitions this quarter was a massive acquisition of one property in Denver, Colorado. It's a joint venture with a partner we own other properties with and a very nice building. We are very pleased to get that one. As a diversified REIT, we benefit from the differences in the three commercial asset classes as well as our geographic breakdown. Artis started as a Western Canadian REIT, but over the last five or so years, we further diversified our geography to include assets in Ontario and the United States. I’m sure everyone on the call is well aware of the drop in oil prices and the potential negative impact on the Canadian economy as a whole as well as on Alberta in particular. The REIT earns 38.8% of its NOIs in Alberta, which 44% or if I express that as a percentage of the REIT’s total NOI about 17% of our total NOI comes from Calgary office properties. We do expect the Calgary office market in particular to suffer from the lower oil prices and related lower activity in the oil in the oil production and exploration sectors. The good news is that our occupancy is still holding up fairly well in our specific Calgary properties and lease expirings over the next few years are not huge. Our expansion into the US has provided us with what we consider to be a great hedge against the falling oil prices and lower oil prices usually mean a weaker Canadian dollar and this benefits the results of operations from our US properties when translated back to Canadian dollars. We got a great lift again this quarter from foreign exchange based on the fact around 26% of the REIT's portfolio is in the US. I will spend a couple of minutes on a couple of highlights from the quarter. As Armin mentioned, we are going to keep this a little shorter, and then I will pass it back to Armin for more discussion. So to touch on the fair value of our investment properties, we value them at fair value and this quarter in particular, we adjusted the cap rate on some of our Calgary office assets and also reduces our expected rents over the next couple of years and allow a little more vacancy factor and this translated into a loss for the quarter of approximately CAD50 million, the bulk of which was the Alberta office properties. The cap rate in Alberta not really supported by any significant volume of transactions. We raised it probably more to be on the conservative side than anything else, but we deemed that prudent to reflect the adjustment this quarter. Not anticipating any major changes in cap rates in our other markets in 2015, but we are paying very close attention to the Alberta market; office market in particular and also the rest of Alberta. Debt to GBV, we remain very comfortable with the debt to GBV ratio. It was slightly up this quarter from year end and that's partly due to the fair value loss on properties that I mentioned before and the fact that we had drawn the line of credit to repay some mortgages that matured at the beginning of April. That was kind of a temporary change in the debt to GBV number. Unencumbered assets is something Artis has been focusing on in the last year or so. So we’ve been gradually paying off mortgages. The unencumbered asset pool is up to CAD750 million at the end of March and we paid off further secured mortgages subsequent to the quarter. So that pool is even larger today than it was at March 31. Highlighting a couple of things from the operating side, same property operating stats is always a number that people look at very closely. We had, what we thought, to be a great same property numbers this quarter, showing an increase of 5.2% across the portfolio in Canadian dollars. Very pleased to have positive growth in all segments of the properties. By asset class, industrial was the best with overall same property growth of 9.3% for the quarter; office very well 4.6%; and retail also solid at 2.6%. Looking at the US, same-store growth was 16% for the quarter, a tremendous number, but of course, a large piece of that was foreign exchange. So as I mentioned before, that’s been a great lift from our US strategy. Strongest sector in the US for us was industrial, followed by office properties, followed by retail. A total growth in the US in US dollars and I know this number is not in the MD&A, it was roughly 3.2%. Total Canadian portfolio also solid at 2% for the quarter, gains in both industrial and retail offset by a softer office market, although office as a whole was still positive for the quarter. Artis considers that we have a natural currency hedge in that we place US dollar debt against our US dollar assets. So if you look in the segmented section of our balance sheet, we have roughly CAD1.5 billion of assets in the US. We hold CAD685 million of US liabilities, including the mortgages and CAD88 million debenture, payable in US dollars and CAD75 million of our preferred units would also be redeemable in US dollars. So in our opinion, that gives us a natural currency hedge of roughly 56% of the US exposure. That's down a bit from year end, again due to the improvement in the US dollar. We have no plans to hedge the remaining exposure at this time. Touching on the non-GAAP metrics that REITs are always measured by, FFO and payout ratios, we had FFO for the quarter, excluding lease termination income, was CAD0.37, up from CAD0.36 last year and FFO payout ratio was 73%. AFFO by our calculations, again excluding the lease termination income, was CAD0.32 for the quarter compared to CAD0.31 in Q1 of 2014 and the AFFO payout ratio was 84.4%. A couple of other highlights, the net asset value, as I mentioned we value our properties at fair value, so by working through our balance sheet you can basically calculate the net asset value for each trust unit. And after adjusting for the equity held by the preferred unit holders, the net asset value per trust unit at March 31 was CAD17.47 and if you dilute this by the effective outstanding in the money auctions, it would be CAD17.44. Values have risen from year end actually and that again is due to the positive impact of foreign exchange. Subsequent events, we ended the quarter with CAD102 million of cash and CAD40 million undrawn on our line of credit. Subsequent to the quarter end, we grew a further CAD28 million on the line and we have repaid, since quarter end, CAD88 million of secured mortgages. There are some small further subsequent events detailed in the notes to the statements. And that's basically going to wrap up my review of the financials for the quarter. It was a great quarter for us and we look forward to demonstrating future quarters. And I'll turn it back to Armin.
Armin Martens: Thanks, Jim. A couple of words from me then. First of all, folks, we are pleased to start this year well and are confident that Artis will continue to meet or exceed expectations in 2015 and ahead. Looking ahead, it continues to be our view that both the US and Canadian economies will perform fair to good this year with the advantage going to the US economy. And among other things this will still be reflected by a relatively stronger US dollar and good real estate fundamentals in the US. With respect to interest rates, bond yields, a little volatile, but they continue to be in a low trading range. Spreads have remained level as well. Today we are seeing five-year money in the 3.0% range and 10-year mortgages in the 3.5% range. So not withstanding our view that interest rates will stay low, in a low trading range for some time and that any sign of deflation will lead to new QE, almost all new mortgages being taken up by Artis recently have been for seven or 10-year terms. So we are terming our debt as it rolls over now and at the same time benefiting from lower interest rates than the existing rates in our portfolio. In terms of acquisition cap rates during Q1, they did remain level is my view and I think the market's view as well. In essence, some REITs are still cheaper than real estate right now. The wealth capital chasing real estate deals actually continues to increase. So in my view even if interest rates were to rise someday, we don't expect cap rates to move up in tandem. In both the US and Canada now there continues to be a basic shortage of good real estate being brought to market. The flip side is that good real estate is priced to perfection. For 2015 we expect we expect cap rates to remain level for some asset some asset classes and even fall for others. All of our asset classes, all Artis industrial and retail, the property markets continue to experience healthy occupancy levels in our target markets and that includes Alberta retail and industrial. Looking ahead, we will continue to carefully monitor oil prices in the Calgary office markets as it [indiscernible]. In terms of our portfolio performance, as you've heard, we feel our metrics are quite good. We have a healthy gap between in-place rents and market rents and are achieving good average rental increases and same property NOI growth. Our leasing progress is good. 2015 leasing program is almost 70% complete as well 15% of 2016. Also, we only have about 50,000 or 60,000, I believe, square feet of office premises left to renew in Calgary this year. Next year it's about a 350,000 square feet to renew. We’re all over those renewals. The next year would represent about 1.25% of our total portfolio. So I think all very manageable. And I think we're in a good position to manage our way through the overbuilding cycle that's taking place in Calgary right now. So our portfolio also continues to demonstrate a longstanding track record of an occupancy level in the 95% range, which we think fits well to our management team and the reliability of our income. So the caliber of our real estate, the caliber of our real estate, our balance sheet and PL ratio continue to improve slowly but surely. This is something we are committed to and we expect more improvement during the balance of this year and next year as well. And that’s the report for this quarter. Folks, we’re pleased with the results and grateful for the low interest rate and economic environment we're in. We’ll ask the moderator now to take over and field questions.
Operator: [Operator Instructions] Our first question is from Jonathan Kelcher from TD Securities.
Jonathan Kelcher: Just turning to Calgary leasing and looking back at the Q4 MD&A, it looks like the amount of lease maturities that you reported as committed declined this quarter versus Q4 in both 2015 and 2016. I was hoping you could give us a little bit of color on that?
Armin Martens: What I can say is that tenants in this market are waiting till the last minute before they have to make a decision on renewing and that's delaying commitments. But the flip side is we are all over these renewals. Am I missing something?
Jim Green: Jonathan, are you looking at what was presented in Q4 versus what is being presented now?
Jonathan Kelcher: Yes.
Jim Green: So what will have happened there is, as you renew leases, that lease no longer expires in 2015, it’s now are 2020 expiry.
Jonathan Kelcher: Yes. Well, I guess that would explain the bulk of it for 2015. But for 2016, the total amount expiring is about the same and you are down about 30,000 or 35,000 square feet.
Jim Green: I don’t have an answer there. We will get back to you on that then.
Jonathan Kelcher: And then just, secondly, you did about 6% lift on renewals, was there any one area or geography that was stronger than others?
Armin Martens: It’s not in our MD&A, Heather, you got it?
Heather Nikkel: We have that actually. In terms of asset class, our industrial performed the strongest, but office and retail were also quite positive for us.
Jonathan Kelcher: In geography, anything there?
Heather Nikkel: By geography, Alberta and Manitoba were the strongest performers this quarter.
Operator: The following question is from Mario Saric from Scotiabank.
Mario Saric: Just a quick question on the industrial same-property NOI as well as Minnesota, so both Minnesota and, I guess, industrial were very strong. Was the reported same-property NOI figure, was it impacted at all by the reclassification of a couple of buildings during the quarter or was that a pure – the 9.3%, is that a pure number?
Armin Martens: A little bit. It's a good number either way, Mario. Do you have the number in your head?
Jim Green: I don’t know what it was. Without those, if you put those buildings back in, Mario, it would be a little less, but it’s still pretty positive.
Mario Saric: So it would go from 9.3% to 8% or 8.5% or something like that?
Jim Green: Yeah, probably somewhere in the 8%, yes.
Mario Saric: And then when I look out the mark-to-markets in Manitoba are pretty positive in both 2015 and 2016. Can you give any sense in terms of the overall market dynamic on the industrial side in particular? I have noticed that vacancy is coming down a little bit for the past couple of quarters. So just fundamentally, how is Manitoba shaping up for you?
Armin Martens: Right now, it's a good passive market. It's not very dynamic, not a lot of absorption, but very little new construction and spec building. So it makes for good supply and demand equation. Good balance there. I'd say you go look at our other markets [indiscernible] institutional advances, spec building and adding to the supply. But very little of that is happening in Winnipeg right now, a lot of good industrial and actually office there as well. The barriers to entry in Winnipeg can be just as high as other major markets. So that's working in our favor right now. Replacing costs for new buildings is very expensive in Manitoba as well, could cost as much here as in Alberta or other major markets. So I don’t know if that helps you a bit, but it's not a strong market, but a good stable predictable market, and that’s what Winnipeg is like.
Mario Saric: And are you seeing rent inflation across the asset classes there?
Armin Martens: We are because it's a trailing market and it reminds me of some of the US markets we are in. We’ve got some industrial buildings and we bought them the rent was below $3 range and now are in the $6 range with these rents, okay. And one of the reasons is it's just so obvious, replacement costs are so high, the gap is large, new construction isn't showing up. New construction needs rents in the $8 to $10 range in United States in some cases. And so we are able to bring the rents up. Not to a new construction level, but a respectably level lower than new construction but a lot higher than existing rents. So we are optimistic about that as well.
Mario Saric: And how do you think about your market share in Winnipeg across the various asset classes? Is there room to grow that or are you comfortable with where you are?
Armin Martens: We like where we are. We’re very selective, sometimes you know too much, it’s our hometown. We would be the largest and most dominant office landlord. We would be very careful about increasing our position. We won't just go anywhere with new office properties. We are almost completely finished now with our set-up on office development on Portage Avenue. And we're with our same partners there, the Chippen and Thompson family, we are proposing a new development just on South Park as well that will be connected to the plus-15 system. We are very careful on the office side of it. Retail, we've got good retail, we’re expanding, which you will seeing an announcement I think this year very soon about a brand-new big box retail tenant that we are landing. Again, we are careful about where we expand. I would say there is limited opportunities. Industrial, we continue to look for good sites, but they are not that available and also we're careful about wanting to own our land back in Winnipeg because the demand is sort of the lower side, even though it's positive and methodical.
Mario Saric: In terms of capital allocation, how should we think about the incremental dollar going forward? It sounds like you are more favorable towards the US than in Canada right now. But at the same time you have got a portfolio in Calgary. So I don't know whether it makes sense to put more capital into the office portfolio there to firm up occupancy or to maintain occupancy. So how should we think about where the incremental dollar goes over the next 12 months?
Armin Martens: We always continue to refurbish a couple of buildings. We definitely are not [indiscernible] our portfolio in Calgary. We are upgrading and making sure our lobbies and our elevators and our washrooms are state-of-the-art and that the exterior looks right and our properties are in Calgary, we are not cutting back in that sense, but you will see us sell one or two properties this year between now and summer, it should be announced and you will see us redeploying in a very wise way, in a way that's accretive and in different markets. We still prefer the US markets, we like the markets we’re in. You shouldn’t be surprised to see us selling some low cap rate stuff at high price per square foot in Canada and redeploying in Minneapolis and Denver, for example.
Mario Saric: So the two properties that you referenced, those aren't Calgary offices, but just Canadian properties?
Armin Martens: Yes, I don’t want to be too specific, but – it’s not a good time to be selling Calgary office, needless to say. So we’ll hold on to what we have and we’ll manage it very well and we’ll also upgrade where necessary. We are working hard to retain all of our tenants and then sign up new tenants. We are not expecting to sell anything in Calgary in terms of office, but there some other properties in Canada we expect to sell for a very good price and redeploy the money very wisely.
Mario Saric: My last question is with respect to bond yields and the correlation between US treasuries and Canadian bond yields. Historically, monetary policy has been fairly simultaneous between Canada and the US, but we may be entering a period where that may not necessarily be the case over the next 12 months, what are your thoughts in terms of the relationship between the US 10-year treasury and the Canadian bond equivalent? Is there a risk that we don't see the necessary economic growth in Canada, but our rates move higher because of Fed tightening, for example?
Armin Martens: We are into year five of talk of tightening in both countries, except I think the sentiment in Canada is neutral or possibly still a rate cut by the end of this year. The consumer debt is very high in Canada in relation to the US. My view is there is no room for the Bank of Canada to raise rates. Possibly the Bank of Canada is hoping the Fed raises rates a little bit, so that they don’t have to drop. But we’ll see, the latest figures in the US, we are still in this Goldilocks economy for many years now where it’s not too hot, not too cold, and no reason yet to raise rate. We’re seeing job growth, but we’re not seeing the real increase in wages and household incomes in the US. That should come, but we are not seeing it yet. I think we need to see all of that, as well as capacity levels at higher, closer to full capacity before we get an increase. But if we get an increase [indiscernible] Fed is at 0.2%, so what they will do is they will bring up to little bit maybe 0.5%, it was 0.75% in Canada. I am not concerned about that at all. The bond market will dictate at the end, we’ll see what the market thinks. I still feel there is a shortage of bonds out there, is my assessment, and I think there is people looking for safety of income, they have to keep buying bonds and keeping a lid on interest rates. So take it one year at a time, but I just don’t think that consumers or the governments can afford to raise rates much at all before we get a recession, then we have got lower rates. I think the memo has gone out to policymakers don't care about inflation. Inflation is not the enemy anymore. It’s all about keeping the economy going and job creation.
Operator: Our following question is from Michael Smith from RBC Capital Markets.
Michael Smith: So if I heard correctly, I think you said that on a constant currency basis, the US same-property NOI growth was 3.2%. I wonder if you could give us a little bit more color on where it came from, like the various asset classes, geographies, just give us some more color on that?
Armin Martens: I can give you a little bit, Michael. The industrial in the US was also the strongest class for us. It was running about, in the US dollar currently about 3.5%; office in US dollar currently ran about 3.3%; and retail was flatter, just around 1%. But retail in the US is a small segment for us.
Michael Smith: And what’s your expectation for the balance of the year?
Armin Martens: We’ve always been cautiously optimistic, Michael. We think we are going to demonstrate positive same-property NOI growth all year long. If we have given guidance in the past, it’s always sort of between 1.5% to 2.5% same-property NOI growth on an annualized basis and we are always happy to beat that. We are always happy to beat that, but we see ourselves being positive generating healthy organic growth given the economic environment that we are in.
Michael Smith: And just switching gears, so the two properties in the Twin Cities area that you added to the properties held for redevelopment. I wonder if you could just give us some color on what type of return or describe these properties. So you had a tenant in it. The tenant left. I guess you had an option. You could try and re-lease the space to somebody else, but is there more upside in redeveloping it or was it just not leasable the way it was? Just maybe you can give us some color on those properties?
Armin Martens: In both cases we feel we have to invest in those properties. One was a large single-tenant building, [indiscernible] facility. We have got to give it a new facelift all around. We’ve got to fix the parking lot, we have to prepare for multi-tenancy. And so there is an investment there that could go as high as $20 per square foot of the building. On an incremental basis, the yield will for sure be there. But sometimes you have got a building that you have got to reinvest in anyway because you don't have a choice. This is a combination. So both of these things come into play here. But the return, yeah, we expect for every $20 per square foot of investment in that building, we’ll go very well on that money on an incremental basis versus sitting on an older building. But all of our industrial buildings, and this applies to Winnipeg as well, and other markets, whenever there is a vacancy, a significant vacancy, we look at upgrading, we look at tearing down part of that building or demolishing and starting from scratch if it makes sense. Our preference is to just refurbish and improve the development at the property, make it available for multi-tenancy, get a better rent per square foot with the multi-tenancy situation. That basically applies to that other building as well. The North Point, is it?
Michael Smith: And so your returns, though, will be – will you get development type returns or is this really just defensive capital?
Armin Martens: Combination, but it will definitely be a worth an investment, that’s for sure.
Michael Smith: And lastly, just so you have two properties you are thinking about putting on the market, do you have them on the market now or do you have anything on the market officially?
Armin Martens: We’ve always been loath to announce dispositions and to fully market properties would rather – and then to say what we are going to do with the money, just haven’t been our MO. But we would rather have a contract in place that's unconditional and then announce it and then let you know what we’re doing with the money after that. But in terms of guidance, we expect, I think I mentioned at our Q4 conference call as well, that we expect it could be something between CAD150 million of properties this year and we’re redeploying that money in a very wise way.
Michael Smith: Is there some strategy in this? Like, in other words, are you trying to – is this an upgrading, like recycling capital with a goal, with a view to upgrading your portfolio, or is it, no, we got this really good property and we can get a good value for it today, let's recycle the capital into the US?
Armin Martens: Both. And one property you will see we have got just extremely good price, very low cap and it makes perfect sense to exit. And other property, you’ll see, with a pretty good cap rate and it makes sense to reposition the portfolio.
Operator: The following question is from Jenny Ma from Canaccord Genuity.
Jenny Ma: Armin, when you're talking about your long-term guidance of same-property NOI growth of 1.5% to 2%, if we look at it over the shorter term being the next year or two, how would you look at – or how do you think about Canadian internal growth relative to the US? I assume there might be some divergence there, or how do you think about it?
Armin Martens: I think I meant to say or probably said 1.5% to 2.5%, so at the broad range I guess of 100 points there. I think it’s a safe range. In our ten-year history as a REIT, we've only had one quarter where we didn’t have positive NOI growth. We are confident we can keep delivering it. As I mentioned, in Canada, we will get – continue to get good results in Canada as well as the US, but we do expect the US to outperform Canada. Right now, we’re comfortable with all of our markets. Minneapolis and Denver doing great, Phoenix is gaining strides as well.
Jenny Ma: And, Jim, with regards to the fair value adjustment, particularly with the Calgary office properties, was it really equally weighted towards a change in the cap rate and the rents, or did one or the other weigh more heavily in the adjustment?
Jim Green: It was probably an almost equal rate, Jenny. I think the rents may have actually moved it more than the cap rates did.
Jenny Ma: Okay. Is it something in the magnitude of the adjustment you guys made to market rents in your MD&A for Calgary office?
Jim Green: Yes, exactly.
Jenny Ma: And then moving on to development, when we think about the impact of low oil prices, we know that Texas is a much more diversified economy. But with regards to some of the development projects you have going there, does that impact the timeline for the development projects in Houston?
Armin Martens: Our office development there is definitely on ice until we get better visibility and better outlook, I guess, on the office market there, especially energy corridor. The industrial development there, we're going full steam ahead with servicing the land. It’s a 128 acres and we’ll put in a main road there. Our retention – our detention pond, as they call it there, will get installed. We will be ready, our signs are up. I think there is even a website up there, our lead developer, Tramell Crowe is all over this one. We expect by summer, it’s 50/50 now, but there is at least 50% chance we’ll proceed with the choice phase of our industrial development there. We are talking about 1.2 million square feet in total that we can build in industrial. First phase will be about 200,000 square feet, plus or minus. So we’re cautiously optimistic that the demand will be there. There will be a good case to be made to go ahead with that industrial development. It’s a different market, very diverse and flexible in terms of demand for industrial space. But as I said, office space won’t go ahead.
Jenny Ma: And how does that compare to what other parties down in Texas are doing? What's the mood like been down there? Is everyone putting office projects on ice or do you think they are taking a more conservative view?
Armin Martens: My understanding is that, from what I am reading and the feedback I get when I talk to the local experts is that the new office developments are on hold for sure. Unless, of course, a new tenant shows up with significant [indiscernible] suit would get done, right? But not a spec development or not something with only a little preleasing. But industrial developments are going ahead. The major developers are still proceeding with industrial developments, industrial rental rates are good and the absorption is still pretty healthy there.
Jenny Ma: And my last question is with regards to the lease-up at 201 West Creek Boulevard to the new tenant, could you walk through the expected contribution to NOI from that and the timing?
Armin Martens: The timing in Q2 [indiscernible].
Jenny Ma: At the beginning of the quarter?
Jim Green: I think May 1, I’m not 100% positive, Jenny, but I sort of think it was May 1.
Jenny Ma: And what's the size of that space?
Heather Nikkel: Yes, that space for the new lease is about 145,000 square feet.
Operator: The following question is from Matt Kornack from National Bank Financial.
Matt Kornack: With regards to the balance sheet, it looks like you drew on the credit facility to repay mortgages subsequent to quarter end. Was that just to remain or maintain flexibility with regards to being able to either keep it on the line of credit or refinance it with mortgages or maybe even with unsecured ventures going forward?
Armin Martens: That would be right, Matt, we are putting them on the line right now. And I guess we’ll just continue to evaluate the unsecured market and we’ll make a decision down the road, either if we can do an unsecured debenture that we like the credit spread on, then we'll do one; and if not, we may re-encumber some of those assets down the road and take out the credit facility.
Matt Kornack: It's been a bit choppy lately, but given where rates have gone on the bond yield at this point, is it more attractive to go mortgage financing or unsecured?
Armin Martens: Well, you just saw, as I do, one today at 275 basis point spread, whereas secured debt run in 200 basis point range. So it’s 75 bps more to do unsecured and that to us is a little bigger cost than unsecured.
Jim Green: I’d echo that, Matt. We are sitting – Artis is sitting at something around CAD50 million in unencumbered assets right now. That's a good chunk. We’d like to get it to CAD1 billion, but we’re not in a crazy hurry to get it up to CAD1 billion. So in the meantime, we’ll do what’s right for our shareholders and 20-point spread on mortgage debt is a better decision right now.
Matt Kornack: And with regards to the two industrial properties in Minnesota, I assume that the NOI impact of those is much less than the GLA, what sort of NOI or rents per square foot are you seeing there?
Jim Green: That will vary. We've still got some rents in the high CAD3s and then we’ve got CAD5 and CAD6 depending on the size, like in a small multi-tenant situations. I don’t remember the expiring rents on those. They would have been in the lower end of the range that Armin just quoted.
Matt Kornack: And I assume, were those vacant for the full quarter or was it partway through?
Jim Green: I think they were both partway through.
Operator: [Operator Instructions] The following question is from Heather Kirk from BMO Capital Markets.
Heather Kirk: One quick one. You've talked a lot about the impact of oil on Calgary and I would just be curious to get your insights on what you're seeing in Edmonton in the industrial portfolio and whether you expect that some of the supply that's coming online later this year might have an impact?
Armin Martens: So far we're full there in Edmonton, where Heather Nikkel is on. We're full up in Edmonton. Our business park is fully leased, that’s new generation. Up in Atchison, we're fully leased as well, we just got a good renewal done, our large base. We’re not the cracks anywhere in our portfolio in Edmonton. We're very comfortable with our Edmonton portfolio, retail and industrial. Lease termination fee we got from our movie theater there that we negotiated after we had a replacement tenant in place, so it’s free money so to speak, the new tenant will be paying rent soon. We like what we've got in Edmonton. We are glad we don’t have an office portfolio in Edmonton.
Heather Kirk: So are we. Thanks very much.
Operator: Thank you. There are no following questions registered at this time. I would like to return the meeting to Mr. Martens.
Armin Martens: Thanks again, moderator, and thanks everyone for joining us on this Friday afternoon call. We wish everyone a good day, a good weekend. We’re looking forward to catching up as soon as we can. Have a good weekend everyone. Bye-bye.
Operator: Thank you. That concludes today’s conference call. Please disconnect your lines at this time and we thank you for your participation.